Operator: Good day and welcome to the StealthGas Inc. third quarter and nine months 2009 results conference call. (Operator Instruction) At this time I would like to turn the conference over to Mr. Harry Vafias, President and Chief Executive Officer. Please go ahead.
Harry Vafias: Thank you and good morning everyone. Welcome to our conference call and webcast to discuss the results for the third quarter and first nine months ended September 30, ‘09. I’m Harry Vafias, the CEO of StealthGas and I would like to remind you that we will be discussing forward-looking statements in today’s conference call and presentation. Regarding the Safe Harbor language, I would like to refer you to slide number 1 of this presentation, as well as to our press release on our third quarter and nine months ‘09 results. With me today is Andrew Simmons, our CFO. And if you need any further information on this conference call or the presentation, please contact Andrew or myself. Let’s start from the slide number 2. We continued with our stated business strategy in the third quarter ‘09 and later I would like to discuss the outlook for the remainder of this year and 2010. Our primary objective continues to run to be driven highly efficient and modern fleet on secure employment contracts with first class charters that serves a very specific niche market our Courchevel fleet has no correlation whatsoever to most of our shipping sectors, many of which as you know will continue to experience significant downturns in both Charter levels and in particular vessel values. Following the delivery of the Alpine Endurance in July 14th, our fleet numbered 43 vessels which is 1400 size big ships and three medium range product tankers. Looking at the remainder of ‘09, the Stealth Argentina, a similar vessel to which Alpine Endurance is contracted for delivery this month, and to immediately deploy under three year bareboat charter thus continuing our consolidated position regard to the impairment profile of our fleet. Following the delivery of this vessel we have no further scheduled new deliveries of ships until the first quarter of ‘11, and as we highlighted the last time we spoke, these 11 million of states payments due during 2010 will expect to meet comfortably from our internally generated cash flows. We have started to maintain moderate level of leverage at those times despite the near size hold increase in our size of the company fleet. Since October ‘05, and after taking into consideration the total fleet of 43 ships at the end of the third quarter ‘09, our net debt to capitalization ratios stood at 47.3%, which are now in the year particularly in these challenging times, coupled with our employment profile, charter profile and overall quality of our charters, should have to continue to underpin the underlying financial stability of our company. Our third objective has been to secure and maintain the visible revenue stream with stable and predictable cash flows, enabling us to continue to push for prudent growth strategy when the markets return to the reasonable levels. At the moment, fixed employments for our fleets for the remainder of ‘09 currently stand at 72% of our available days, about 50% already covered for 2010 and 20% already fixed for 2011. As you would have seen from our results for Q3 our time charter equivalent rate was about 6,600 per vessel per day, compared to 7,600 in the corresponding quarter last year. We represented a decline of about 14% but less than the 16% decline we saw in Q2, that’s highlighting the continuing challenges faced by the increased trading in the spot market and overall lower prevailing spot trades year-on-year. We have also again included an adjusted time charter equivalent on a blended basis in our slide presentation for both the LPG vessels and the tankers, and is none of our vessels were in a bareboat charter. This not only gives you a more realistic figure in terms of average time charter equivalent but we have also adjusted the vessel operating expense line later in representation as we are responsible for the operating expenses of all the vessels in our fleet. On these basis of [DC] equivalent was $8,000 in Q3 ‘09 against $9,284 at the same time last year, a reduction of 1,287 per day or 13.9%, again less under 15.8% declines in Q2, which underlined the challenges that we have faced in the third quarter as again predicted, we would currently we will discuss the company’s performance in August of this year. However, despite these lower income levels, I’m very pleased to report that we remain profitable and that our Q3 EBITDA increased over the same period last year as we’ll discuss more detail later on. We remain comfortably above our net income breakeven level. Overall our daily breakeven has been adversely affected by actual losses on interest rate shop arrangements as a consequence of the continued low prevailing LIBOR rates. We currently have three of our tankers on bareboat charter which are the most secure in terms of operational risk plus we are protected from such expenses as bank rate accrue and insurance cost and all other expenses for the bareboat charter ships are for the charter’s account. However, in terms of numbers should play down the bareboat charters, which is a lower level that we have seen in previous years. Our first goal has been to own and operate the modern fleet of LPGs and in this respect our average age is 10.8 years not including the four tankers and the five brand new gas tankers contracted to acquire between ‘11 and ‘12 compared to an industry average of about 20 years. We continue to believe that charters will increasingly look for more than an efficient tonnage to our fleet’s age relative to the industry will be important as we more forward in 2010 and beyond when there is an expected contraction in the overall size of the Handy Size LPG fleet. Unlike any other acting shipping sector plus push forward for sustained economic recovery may well be closer. Our fifth objective has been to maintain close customer relations. The quality of our customer relationship is exemplified by continuing high fleet utilization and the quality of our charters which also lowers our counter party risk. I’m pleased to say that today we continue not to have any issues in terms of charter’s performance and as you can see from our balance sheet where we are, I am sure if they are a small number of charters making cash deposits of bank guarantees towards the highest. Our sixth goal has been to maintain cost efficient operations. I am pleased to report yet another good performance in Q3 of ‘09. Our net income breakeven level increased by just $378 per day to $6,215 per vessel per day compared to $5,855 in the same period of ‘08. I believe this is a very credible performance managing our cost base and has gone some way to preserving the profitability of the company at a time when we have seen not surprisingly income levels on our ships under some pressure. As I mentioned earlier, the main reason for this increase was due to realized losses on derivatives. I am pleased to know that the operating expenses, G&A and interest expenses actually declined in Q3 ‘09 compared to Q3 ‘08 underlying the close attention of management operating in the cost side of the company as efficiently as possible. This close and cost effective management of our vessels continue to be a vital important area of operation for our company given the relatively narrow margins which we expect to produce and I believe we have again demonstrated this in the third quarter this year. Slide number 3, this slide demonstrates the development of our fleet. By the end of the third quarter ‘09 we have a fleet of 40 gas carriers and three tankers thus continuing our number one position in the Handy Size LPG carrier sector. By the end of ‘09 as currently structured we will own 40 gas carriers and four very modern product tankers. Following the delivery of our last contracted product tanker in late November I want to confirm again that apart from some 11 million of states payments due during 2010 constructing the five LPG new buildings we have ordered we have no capital commitments or need to raise any finance until the first quarter of 2011 when they commence their deliveries. I’m pleased to say that several banks have expressed an interest in the potential financing of these vessels and we intend commence discussions with regard to their financing during the first quarter of 2010. StealthGas continues to solidify its number one ranking in new investors in owned vessels in the 3000 to 8000 CBM segment upon which we are concentrating. We continue to focus primarily on this segment because of its strong fundamentals, capital with a relatively stable rates as we will show later, we continue to obtain even in this difficult period in a favorable order book and safe gross compared with the average sized segments in many of the other sectors of shipping. We currently have a market share of about 14% and after the acquisitions detailed above we expect our market share to increase to about 17% further enhancing in our view our growing position of some influence within this market. Also we believe that moving through the product tanker sector will improve over the medium term to be well timed; we have continued our policy of deploying the vessels on secure meeting the long term charters with all four of these vessels one lastly delivered to us November being deployed on many of the long term bareboat charters. Slide number 4. This slide demonstrates a fleet deployment profile and provides you with the earnings visibility freight over 43 ships. And the one product tanker contracted to join the fleet in November ‘09. At the bottom of the employment profile chart we have included a percentage of days fixed. These then average into stability and predictability of our earnings. As you can see 72% of those days are already fixed for ‘09 50% for 2010. I’m hopeful we will get to 60% by Christmas and 20% already fixed for 2011. We are now turning on for the financial highlights to our CFO Mr. Simmons
Andrew Simmons: Thank you Harry, and good morning everybody, we now turn to slide number. We turn to the financial highlights of the third quarter 2009. In an average of 42.9 vessels owned and operated in the third quarter of ‘09, we realize net income of $7.2 million on voyage revenues of $28.4 million and produced an EBITDA of $16.6 million. For the third quarter of 2009 we reported a profit of $2.7 million on interest rates local currency hedging arrangements which included an unrealized non-cash profitable approximately $4.5 million and a realized cash loss of approximately $1.8 million. Non-cash position of approximately $200,000 for restricted stock portion of deferred stock based compensation. Net income was $7.2 million or $0.32 per share. Our earnings per share for the third quarter of 2009 excluding these non cash items was $0.12 per share calculated on $22.2 million average shares of outstanding. As discussed earlier, our net debt capitalization stood at 47.3% at the end of Q3 ‘09. We continue to believe we are maintaining our leverage at moderate levels is important. As currently structured no further debt will be incurred by the company until early 2011 following the delivery of the Stealth Argentina later this month. We now turn please to slide number 6. This slide provides you with an overview of the development of our income statement for five consecutive quarters. In preparing our results from the third quarter of 2008 to the third quarter of 2009 revenues decreased by 1.7% EBITDA increased by 23%. Our EPS excluding non-cash items was $0.12 per share or $0.32 per share if these items are included. The improvement in our performance we believe when taking into account the prevailing market conditions quite creditable. Also in looking at this slide we would gain point to the relative steadiness of our business which coupled with our prudent financial structure will continue to benefit the company as we hopefully move closer to a worldwide economic recovery. Slide number seven please. These are our operating highlights four prior quarters. Q3 of this year plus our half year figures, it also provides the comparison for fiscal 2008. In terms of fleet base during the third quarter of ‘09 we owned and operated an average number of 42.9 vessels. Total charter days for the fleet during the third quarter of ‘09 were 3,155 and we also had 763 total stock market days. This compared to 216 stock base in the same quarter last year. In terms of average daily results per vessel for the third quarter of ‘09 we achieved a time charter equivalent of $7,997 per day per vessel on the adjusted basis compared to $7,857 per day per vessel in Q2 of ‘09. Vessel operating expenses per day on the adjusted basis i.e. vessels on bareboat charter were $3,639 per day per vessel compared to $3,868 in Q2 ‘09. We continue to be relatively pleased with this performance in the day-to-day running expenses. It’s evidence of the measures we instigated to have even more stringent management on cost as a consequence of the overall prevailing economic condition continue to benefit the company and to a degree in our own growing performance. We now turn to slide number eight and nine. The slide number eight, we now turn to financial highlights for the nine months of 2009. With an average of 41.8 vessels owned and operated in this period we realized net income net of the $800,000 loss on the sale of Gas Sophie the $13.8 million on voyage revenues of 84.7 million and produced EBITDAR of $39.8 million. For the nine months ended September 2009, reported a non-cash loss of $1.5 million in interest rates, drop in currency hedging arrangements and a realized cash loss of $3.4 million of interest rate swap arrangements. Plus a non-cash provision of approximately $0.5 million for restricted stock portion of deferred stock based compensation. Including non-cash items and the loss on the sale of the Gas Sophie, net income was $13.1 million or $0.59 per share. We now turn to slide number 10. As we have already discussed we continue to start to run our fleets in a very cost effective manner concentrating extremely hard on operating our ships efficiently and safely. We were so pleased that our vessel operating expenses in Q3 of ‘09 were virtually the same as for the same quarter of 2008 while accruing still remains a challenge we are hopeful that rate of increase in operating cost will continue to moderate for the remainder of this year and into 2010. So, on a cash flow basis our daily breakeven per vessel for the third quarter of 2009 was $5,886 per day if we deduct the realized loss on derivatives compared to $5,512 in Q2 of ‘09 due mainly to an increased depreciation. What is encouraging from a cost standpoint is if you turn back to slide number seven is that our total vessel operating expenses are lower in the first nine months of 2009 compared to the average of 2008. On a net income basis our daily break even per vessel net realized cost on derivatives was $5,667 per day in Q3 of ‘09 compared to $5,556 per day for the second quarter of this year, an increase of just 2% which again underlines the intention that management is attaching to this area. We now turn to slide number 11. Using the input given on this slide our shareholders and investors can estimate our financial performance through the remainder of 2009. This slide provides you with the revenues we have already secured as of today for the end of this year based on contracted revenues on the time on bareboat charters. Total contracted revenue to-date are $106.1 million which is 94% of the total revenues in 2008, plus we have the variable in revenues we generated by those of our vessels with days that are not yet contracted for in the remainder of this year, and we have arrived at that number of days 1,135 as the fleet stood at 30th of September 2009. So you can input the rate you wish to assume our average vessels not yet chartered will run for the remainder of 2009 and you can calculate our projected performance for this year. Thank you very much for your kind attention and I will now hand you back to Harry for some further comments.
Harry Vafias: Okay, slide number 12 please. This slide shows you the volatile seg markets of last seven years for the medium sized and large sized gas carriage. In comparison mid-size and smaller semi and fully pressurized vessels in our core sector have experienced a much low volatility and until recently steady growth in freight earnings from middle 500s. It’s clear from this data that our type of ships which won the core of our business and that are far remote from dry wet and/or container markets about the past seven years not experienced wild fluctuations in rates but these other shipping sectors have seen and we are hoping that as these relatively non-volatile trading part will continue to remain intact. As I believe we have proven today despite the prevailing economic conditions that our reported earnings for the first nine months of this year. Slide 15 if you turn to it now, which shows the one year time charter equivalent volatile issue since like year 2000 between the dry bulk and crude tanker sectors into 3,500 fully pressurized LPG gas ships and 3,200 semi-vessel LPG gas ships which are typical of our majority of our fleet. As we can see, based on the mean average for these sectors over this quite extended period the level of volatility is far higher in the dry and what it spaces on our core sector. We continue to expect that the supply of product will increase in the next two to three years plus demand is expected to continue to be steady particularly in the far east and developing world and therefore we continue to believe that the outlook for our core market is encouraging and thus we will continue with the contracted development during the 2011 and 2012 while free to take advantage of these expected outlook as it materializes. Slide 14. This slide indicates a fair trade evolution for 12 month charters for our market. The figure are based on the independent estimates by Lorentzen & Stemoco. As you can see highlighted in yellow these segments continues to be as we have just discussed characterize by our relative stability and rates have been relatively steady over the past two quarters in the independent forecast of the fourth quarter of ’09. These rates will drop by 4% for 3,500 pressurized segments, and we drop by about 6% for the 3,200 semi-med segments which tend to carry gases up our thermo industrial usage. Projected reductions which grew unwelcomed to not anyway pulls the company towards a loss making situation. Slide 15. We continue to believe that the forecasted minimal fleet growth in the LPG sector in the year 2010 and the negative fleet growth in 2011 at the time when several large natural gas projects come on-stream gives a defined project outlook for our core sector. There is an expectation in the supply of LPG product that must be shipped as this time will increase. We continue to believe that the supply demand access is very encouraging for a company in this virtually unique situation within the shipping industry, particularly given the conditions being faced by many of the other sectors of shipping today. Despite this positive outlook we will not have or expand our fleet further expect for the already contracted new building for delivery in ‘011 and 2012 and obviously will take advantage of current prices asset prices and sell some of the older vessels. Now we’ll turn to slide 16. We have included this slide to emphasize the point I have just made the different older book outlook for the LPG sector as opposed to the more main sectors of shipping. I should add that the figures shown here in the graph are for all LPG sizes and although we have just discussed not only our core sector Slide 17 please. We have included this slide just to show you over the past two quarters results taking a sample of different types of listed shipping companies and making a comparison of their price to net asset value compared to ours. We have also included a comparison of the price to earnings ratios to further underline our point. As you can see from the slide based upon that I made a very progress recently and simply continue to present a very attractive prospect to investors, when benchmarked again these companies will not benefit from the sector of fundamentals what we have just been discussing. I believe that you could take another random sample of listed shipping companies and you would see a similar picture on a comparative basis. So in my view on this basis at least plus as highlighted earlier, are comparatively low debt to market value and continue to be valued inappropriately by the market. As discussed in my view, continues to be an attractive company to invest and based upon these evaluations and the outline we have discussed here today. We are now at the end of our presentation. We would to open the floor for your questions. So please operator open the floor. Thank you.
Operator: (Operator Instruction) Your first question comes from Daniel Burke - Clarkson Johnson Rice.
Daniel Burke - Clarkson Johnson Rice: Harry, I was wondering if you could talk about rates in Q4 a more of a short term basis, one of the things I noticed on your slide 14 the charter market rate indicator, was that, I appreciate that you don’t put together this forecast but that Q4 ‘09 the rate forecast were actually slightly lower than the Q3 ‘09 rate averages, and it strikes me that for business that sort of typically peaks into winner, that’s not exactly a typical trend. I was wondering if you could share your outlook for maybe the next couple of quarters during the winter period and maybe what reasons rates on a 12 month time chatters stock could actually soften a bit Q4 potentially.
Harry Vafias: Yes, as you know from our previous results always in the winter rates we have seen quite a strengthening. These estimates are not ours; obviously it doesn’t mean that we disagree with them. But my personal opinion for next years is that the rates will be flat, meaning that they will remain low for mainly the majority of the year, I expect at least for the next nine months from Christmas onwards. I’m happy to say that even if in the bottom of the market we will still make money which is very rare for our shipping segments as we know very well and we are quite hopeful from the end of next year onwards where obviously the economic environment is going to be better and as you know very well there is going to be a shortage of modern ships and an increased scrapping of all the vessels. So we believe the rates will remain at the current low levels for at least nine months with obviously some small decisional hiccups and some volatility but generally will remain at these levels.
Daniel Burke - Clarkson Johnson Rice: Then another question, Harry, did you mention in Q1 ‘10 that you would begin to cement the financing on the new bills or did I mishear you as you addressed that description.
Harry Vafias: That was correct.
Daniel Burke - Clarkson Johnson Rice: In Q1 ‘10 we could expect to hear something, okay. And then just last question it’s actually half feedback is, I do appreciate the inclusion of the operational utilization information, certainly speaks to some of the challenges you are seeing in the spot market. Do we have decent visibility? I mean should Q4 sort of implied spot utilization looks similar to Q3.
Harry Vafias: Normally Q4 as we discussed should be better, but if you want to be conservative we should leave it the same.
Operator: Your next question comes from Noah Parquette - Cantor Fitzgerald.
Noah Parquette - Cantor Fitzgerald: Can you just talk a little bit more about your expansion strategy going forward, I mean what types of classes look attractive to you, if you are going to stick with LPG or if you consider dry bulk even?
Harry Vafias: As we have discussed we are not looking to expand. We have already the largest fleet in the gas sector in the world. We don’t want to expand when we don’t have clarity about one of the rate environment and the bank environment will be better. So we have no such plans. What we have said is that this indeed in 2011, the LPG freight rates increase significantly then obviously we have many options, some of which are inside the dividend by ships now the type of ship we will buy obviously depends. If the gas ships prices have not dropped, obviously we will look at other types, anything but containers. But all of these discussion is useless at the moment and irrelevant because my discussion is for 2011 and not for 2010. So at the moment there is no plans for expansion.
Noah Parquette - Cantor Fitzgerald: And then Andrew what was the $618,000 charter termination fee gain I guess during the quarter?
Andrew Simmons: Yes, I think we had two ships I think where the charter had the option to extend the chatters on those vessels or that they didn’t extend the charter. They had to pay off a termination fee. So both of those crystallize in Q3 and therefore that those fees were taken to the income statement during the third quarter.
Noah Parquette - Cantor Fitzgerald: Okay, that’s arguably you include that in your operating income because it’s mostly it’s essentially revenue right.
Andrew Simmons: It’s essentially, Yes, it’s a revenue which instead of receiving a charter hire going forward, because they took the option not to extend but they had to pay us that fee so it came in as a revenue, we are showing it in some sort of and the expenses aligned it’s actually obviously a credit in that area.
Noah Parquette - Cantor Fitzgerald: Okay, and then just lastly on Friday’s press releases you announced another charters, and you said the average rate was about $10,800 per day. Do you have a number excluding the Stealth Argentina, just for the LPG charters?
Andrew Simmons: No. We only give out when we announce the battery of charters we give out the average rate for, in this case, I think it was five chatters and we have to stick with that, we can’t break that out separately so to speak.
Noah Parquette - Cantor Fitzgerald: You can’t give an average excluding one of the vessels?
Andrew Simmons: We prefer not to
Noah Parquette - Cantor Fitzgerald: Okay. And then I guess, what were the progress payments for next year, I think you said that but I didn’t catch it.
Andrew Simmons: We have about $11 million to pay next year to the yard for the next stage.
Noah Parquette - Cantor Fitzgerald: Nothing this quarter?
Andrew Simmons: Nothing this quarter, no.
Operator: (Operator Instructions) Your next question comes from Jeff Geygan - Milwaukee Private Wealth.
Jeff Geygan - Milwaukee Private Wealth Management: Regarding the two ships that were not, where the 618,000 charter determination gain occurred, what became of those ships after that? Was it a case of the charter didn’t want them at all or do they renegotiate in spot environment?
Harry Vafias: We will have to revert on that because I don’t have any information of this specific ships. If you want you can email us and we will reply on an email on that if you want, I don’t have this information right in front of me.
Jeff Geygan - Milwaukee Private Wealth Management: All right. Secondly, with respect your swap contracts what would a rising interest rate environment look like for you with respect to your swaps, what you would perceive the market rates might look like and finally your profitability?
Andrew Simmons: I didn’t quite get the first part of the question Jeff, sorry, could you say that again?
Jeff Geygan - Milwaukee Private Wealth Management: How does your business look in rising interest rate environment given your interest rate swaps?
Andrew Simmons: Well, currently we have about 51% of our debt swapped out at an average rate of about 3.70%. So, that’s roughly about a $175 million. So, obviously, as rates rise but unfortunately I don’t think we expect any rise in rates to probably, sometime around this time next year, we are somewhat out of the money as you can see from our results on those swaps. Obviously if rates start to rise then we will start to. The loss that we are experiencing in the moment will diminish somewhat and if rates go back to where they have been historically then these swaps will be in the money for us at some point in the future.
Jeff Geygan - Milwaukee Private Wealth Management: All right. And then last question, given that you have a substantial amount of your fleet either in spot today or going to be in spot throughout 2010, what would prompt you to try to lock into longer term charter rates as opposed to stock market rates?
Andrew Simmons: Could you repeat the question Jeff, sorry Harry didn’t quite catch the question.
Jeff Geygan - Milwaukee Private Wealth Management: Sure. Given the large amount of your fleet that’s either in the spot market or will be in the spot market in 2010, what circumstances would cause you to want to try and lock in longer term rates?
Harry Vafias: First of all I think that argument is wrong. At the moment we have 10 ships out of 44 that are in the spot markets. So that’s less than one quarter. Secondly, as we mentioned before, we hope to have 60% of 2010 days fixed by Christmas. So let’s take it from there. So let’s say that we have 10 or 15 vessels in the stock market next year, obviously we want to fix them but as we’ve said many-many times again and again we want to fix just any number, just to be fixed we would fix that a number, the number one doesn’t destroy the current market, and secondly makes a certain kind of profit for us. Otherwise we will trade them in the spot market, obviously there will be more waiting days but if the spot market yields between 6.5 and $8,000 depending on the specific trade it’s still quite profitable.
Operator: (Operator Instruction). As there are no further questions, I would like to hand the call back over to you gentlemen for any additional or closing remarks.
Harry Vafias: We’d like to thank you for joining us at our conference call today and for your interest and trust in our company. We look forward to having you with us again at our next conference call for our fourth quarter and end of ‘09 results. Thank you very much.
Operator: Thank you. That will conclude today’s conference call. Thanks for participation ladies and gentlemen. You may now disconnect.